Operator: Good morning, and welcome to the Corporacion America Airports First Quarter 2025 Conference Call. A slide presentation accompanies today's webcast and is available in the investor section of the company's website. As a reminder, all participants are in a listen-only mode. There will be an opportunity to ask questions at the end of the presentation. At this time, I would like to turn the call over to Patricio Inaki Esnaola, Head of Investor Relations. Please go ahead.
Patricio Inaki Esnaola: Thank you. Good morning, everyone. And thank you for joining us today. Speaking during today's call will be Martin Eurnekian, our Chief Executive Officer; and Jorge Arruda, our Chief Financial Officer. Before we proceed, I would like to make the following Safe Harbor statement. Today's call will contain forward-looking statements, and I refer you to the forward-looking statements section of our earnings release and written filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. Please note, that throughout this call all references to revenues, costs, adjusted EBITDA and margin, we refer to figures excluding IFRIC12. I will now turn the call over to our CEO, Martin Eurnekian.
Martin Eurnekian: Thank you, Inaki. Good day, everyone, and thank you for joining us today. Let me begin by walking you through the main highlights of our first quarter 2025 performance. After that, Jorge will take you through the financials in more detail and we will then move on to Q&A. I am pleased to report that we had a strong start to the year with total passenger traffic growing by over 7% year-over-year or more than 9% when excluding the discontinued Natal concession. Growth was driven by strong performance in Argentina and Italy, with Argentina reaching record traffic levels in January. We also reached a record high in January at Carrasco airport in Uruguay. International traffic increased nearly 13%, led by Argentina and Italy, while domestic traffic rose 4% or close to 8% when excluding Natal. Revenues rose 6% year-over-year. However, on an ex-IAS29 basis, we delivered an increase of nearly 12% surpassing passenger growth despite the impact of local currency devaluations in Brazil and to a lesser extent in Italy on reported revenues in US dollars. Revenue per passenger remains relatively stable at $20.5 or increased by 3.9% excluding IAS29. Adjusted EBITDA came in at $156 million. Excluding IAS29, it was up 4%, and the margin stood at 38.2%. Inflationary pressures in Argentina, where Peso-denominating operating costs rose at significantly higher pace than the valuation, had an impact on our EBITDA. From a financial standpoint, we sustained a solid performance, supported by healthy cash generation and a solid liquidity position. Our leverage remained at low levels, providing capacity to advance our strategic growth agenda with discipline. On the expansion front, we remain active in pursuing opportunities and continue to make progress across multiple geographies analyzing several projects. Let's turn to passenger traffic on Page 4, which showed a strong performance across most of our operations during the first quarter of 2025. Total passenger traffic increased by 7% year-over-year to over $20.4 million, excluding for comparison purposes the Natal Airport concession, which we exited in February last year. Traffic was up over 9% in the period and highlights the underlying strength of demand across key markets as well as the quality of our portfolio. Growth was broad-based with both international and domestic traffic performing well. Domestic traffic increased by 4% year-over-year or nearly by 8% when excluding Natal. This was primarily driven by a recovery in Argentina and strong performances in Italy and Brazil. International traffic was up by close to 13% year-over-year with a positive contribution from all markets, except Armenia. Let's go now into year-on-year performance by country. Beginning with Argentina, our largest market, passenger traffic rose over 12%, recovering strongly from the moderate decline seen in the prior quarter and achieving an all-time high in January. Growth was supported by a recovery in domestic demand and continued strong momentum in international travel. Domestic traffic grew by 9%, rounding from the contraction in the prior quarter, as year-over-year comparisons are no longer affected by the [Previaje] (ph) Travel Incentive Program discontinued under the new administration in December 2023. We've also seen positive broad developments in Argentina's domestic market with low cost carriers expanding capacity and connectivity. On the international side, traffic increased by 21% year-over-year, further accelerating from the pace seen in the prior quarter. Aerolineas Argentinas resumed operations to Porto Alegre and confirmed plans to continue operating the Córdoba to Rio de Janeiro route year-round, while Avianca upgraded its service to [indiscernible] using [indiscernible] to accommodate rising demand. And LaTAM increased frequencies on its Cordoba to Santiago and Mendoza-Santiago routes. This strong performance in Argentina continued into April with domestic and international passenger traffic growing by 14% and 21% year-over-year, respectively. Turning now to Italy, traffic was up over 10%, reflecting steady growth across both Florence and Pisa airports. This good performance was mainly fueled by Ryanair's increased frequencies and load expansion initiatives. International traffic, which accounted for roughly three quarters of total volume, grew just over 8%, with both airports contributing positively. Domestic traffic grew at an even faster pace, rising over 17% year-over-year, underscoring the strength of local demand. This early performance continued into April with domestic and international passenger traffic increasing by 15% and 10%, respectively. In Brazil, we continue to see traffic growth, with volumes up in the mid-single digits year-over-year when excluding Natal Airport, which we ceased to operate in February of last year. While the sector still faces headwinds related to aircraft supply, underlying demand shows encouraging signs of improvement across the quarter. However, international traffic grew 28% year-over-year, underscoring the great momentum in international demand. In April, overall traffic increased by 17% against April last year. In Uruguay, total traffic was up low single digits as international routes continued to expand. The summer season saw new services from SKY and Latam, connecting Montevideo to Rio de Janeiro and Punta del Este-Santiago, respectively. [indiscernible] also began operations between Montevideo and [indiscernible] and announced the new route to [indiscernible] aiming at improving regional connectivity and tourism flows. Traffic in April performed well and increased by 17% benefiting from additional demand generated by the Easter holiday. In Armenia, where we are operating at capacity during various hours of the day, following strong post-COVID performance, passenger traffic increased slightly by over 1%. Notably, Wizz Air announced that it will establish a base at Yerevan Airport along with a broad range of new European routes, scheduled to start operating later in the year. In addition, China Southern, Air Cairo, Salam Air, and Sky Express, began operating at Yerevan Airport. These developments are boosting connectivity and positioning Armenia as a regional hub. We expect these operations to contribute positively to traffic growth in the country. Traffic in April rose by 8% against April last year. Finally, in Ecuador, total traffic increased by over 2% year-over-year, driven by a mid-signal increase in international demand, combined with modest growth in domestic traffic. Higher federal levels and the challenging security factors in the country continue to weigh on growth. But overall activity remained positive. Traffic in April decreased by 1.8% compared to April 2024. The quarter delivered a strong performance led by Argentina’s solid rebound and steady growth across Italy, Uruguay, and Brazil, which showed improving trends excluding the Natal. Overall, these great results highlight the quality of our network of airports. Turning now to cargo on Slide 5. We saw a strong start of the year with volumes up 9% year-over-year in the first quarter reflecting solid performance in most geographies. Growth was particularly strong in Uruguay, up nearly 30%, reflecting higher activity in both imports and exports, followed by growth in the low teens in Argentina, which continued to benefit from more flexible import regulations and improved macro conditions. Armenia and Italy also posted solid gains, while Brazil and Ecuador showed modest declines. Notably, Argentina, Brazil, and Armenia continue to represent the bulk of activity, together accounting for nearly 80% of total cargo volume in the quarter. Cargo revenues declined 7% year-over-year, primarily reflecting fewer storage days for imported goods in Argentina. However, on an ex-IAS29 basis, cargo revenues were up slightly, supported by better pricing and volume trends in Uruguay. A new cargo business model was implemented mid-March in Argentina, which has already started to contribute to revenue growth in the second quarter on year-over-year basis. Looking ahead, we will continue working to enhance our cargo performance across the network, leveraging local opportunities and ensuring we maintain a competitive and efficient cost base. I will now turn the call to Jorge, who will review our financial results. Please go ahead.
Jorge Arruda: Thank you, Martin, and good day, everyone. Let's start with our top line on Slide 6. Total revenues ex-IFRIC12 increased 6.4% year-on-year or 11.5% on an ex-IAS29 basis. Well above passenger traffic growth despite the impact of local currency devaluations in Brazil and to a lesser extent in Italy on reported revenues in US dollars. Our revenue per passenger remains stable at $20.5 or increased by 3.9% when excluding IAS29. Aeronautical revenues were up 6.8% during the same period or 12.7% when excluding IAS29, mainly supported by the strong performance we saw in Argentina coupled with positive contributions from Uruguay and Ecuador. In local currency, aeronautical revenues at the Brazilian airport increased by 11%. Most notably, in Argentina ex-IAS29, aeronautical revenues grew by over 23%, supported by 21% year-on-year increase in international traffic. And to a lesser extent, by higher domestic passenger fees due to the tariffs increase that took effect in November last year. In contrast, aeronautical revenues in Italy declined despite traffic growth due to an increasing marketing support provided to low-cost airlines at Pisa Airport, which is accounted as a deduction from revenue. However, the increased marketing support is generating additional growth in traffic and consequently in commercial revenues. Commercial revenues increase by 6.1% year-over-year or 10.2% excluding the impact of IAS29, primarily driven by higher contributions from parking facilities, VIP lounges, duty-free stores, and other passenger-related revenue streams. Growth was particularly robust in Argentina, which delivered double-digit gains, further underpinned by solid performance in Italy, Uruguay, and Ecuador. In local currency, commercial revenues at Brasília airport increased by 12%. These positive trends were partially offset by lower fuel-related revenues in Armenia, which has lower margins. Turing to Slide 7. Total costs and expenses excluding IFRIC12 were up 17.7% year-over-year. Cost of service rose approximately 16%, and that is driven by higher maintenance expenses in Argentina and increased concession fees in line with higher activity. To note, cost of service in Argentina were significantly impacted by accumulated inflation, outpacing currency depreciation, and tough comparisons against the first quarter of 2024, which did not fully reflect the inflationary impact following the sharp evaluation of the peso at the end of 2023. SG&A expenses grew, 23% mainly reflecting higher salaries in Argentina, primarily driven by the aforementioned effect of higher inflation and evaluation. Looking ahead, we remain firmly committed to maintaining strict cost discipline across our operations with a particular focus on Argentina. Furthermore, going forward, we currently do not expect material cost increase on a quarter-over-quarter basis. Moving to profitability on Slide 8. Adjusted EBITDA ex- IFRIC12 reached $156 million down 4.6% year-over-year or up 4% when excluding the impact of IAS29, driven by a 10.5% increase in Argentina. Uruguay reported another consecutive quarter of adjusted EBTDA growth of 3.8$ fueled by steady traffic increases and strong commercial performance, particularly in cargo and VIP lounge services. Ecuador delivered solid results underpinned by robust retail and duty-free revenues contributing to the positive momentum across our key markets. Importantly, adjusted EBITDA at Brasília Airport increased 12% in local currency. Adjusted EBITDA margin ex-IFRIC12 was down 4.3 percentage points year-over-year or 2.7 percentage points on an ex-IAS29 basis to 38.2%, mainly impacted by margin contractions in Argentina and Italy. In Argentina, while margin headwinds persisted in the first quarter, we expect improved trends in the coming quarter supported by strong passenger performance and continued growth in commercial revenues combined with normalized cost levels, given the much lower gap between inflation and devaluation and easier comparisons. In Italy, results in the quarter were affected by higher maintenance and energy costs. However, both of them are embedded in the regulatory IRR pursuant to the dual fuel concession regime, and therefore will be compensated through tariff increases. Turning to Slide 9. We closed the quarter with a solid total liquidity position of $524 million, slightly down from $526 million recorded at year-end 2024. Notably, all of our operating subsidiaries reported positive cash flow from operating activities, except for Italy due to the CapEx program at Pisa Airport and Ecuador due to the one-time annual concession fee payment which is due and paid every January. The CapEx in Italy was financed with local borrowing pursuant to the existing syndicated credit facility. Cash used in financing activities reflected debt reductions in Argentina and Ecuador. In Ecuador, we have now fully repaid all outstanding debt. Moving on to debt and maturity profile on Slide 10. Total debt at the end of the quarter stood at $1.1 billion, while net debt declined to $690 million from $780 million in December 2024. Our net leverage ratio remains steady at 1.1 times. In summary, we closed the quarter with a robust balance sheet and healthy debt profile. As we continue to strengthen our liquidity position, our capital allocation strategy remains unchanged. We remain focused on pursuing both organic and inorganic growth opportunities to expand our airport portfolio and deliver value creation to our shareholders. I will now hand the call back to my team who will provide closing remarks and discuss our view for this year.
Martin Eurnekian: Thank you, Jorge. To wrap up, please turn to Slide 12. We delivered a solid first quarter with all countries posting traffic growth and particularly strong dynamics in Argentina, Italy, and Brazil, excluding Natal. Notably, both Argentina and Uruguay reached record high traffic in January, underscoring the positive momentum in such markets. The strong momentum continued into April with consolidated traffic growing 14% year-over-year, as previously reported. Financially, we maintained a healthy position with liquidity at $524 million and the net leverage steady at 1.1 times. Adjusted EBITDA excluding IAS29 rose 4% year-over-year, supported by strong contributions from Argentina, Uruguay, and Ecuador. On the commercial front, we remain focused on enhancing non-aeronautical revenues. At Ezeiza Airport in Argentina, we inaugurated the most modern VIP lounge in Latin America and are finalizing the expansion of the duty-free area at the airport's arrival terminal, more than doubling its space. In Uruguay, we inaugurated a new covered parking facility at Montevideo Airport, further enhancing the passenger experience and non-aeronautical revenue growth. We are also making progress on strategic fronts. In Argentina, we are advancing negotiations with the government in connection with the revision of the economic equilibrium of the AA2000 concession agreement. In Italy, our Florence master plan received a positive environmental review, while in Armenia we continue to move forward with the $425 million CapEx program. At the same time, we remain focused on expanding our portfolio. Having submitted a proposal in Montenegro and a revised plan in Angola, we are evaluating new opportunities across regions. We also strengthen our new business management team to further enhance our business development capabilities and reinforce our ability to pursue value-advanced growth opportunities. Looking ahead, we expect positive traffic trends to continue in Argentina, supported by strong demand and several new operations recently announced. And we anticipate a strong summer season, both in Italy and Armenia. Before closing, I'd like to highlight several recent accomplishments that underscore the strength of our network and commitment to operational excellence. In Uruguay, Carrasco International Airport was named the best airport in Latin America and the Caribbean in the under 2 million passengers category by ACI's Airport Service Quality Awards based on global passenger feedback. This is the second time Carrasco received this honor, reflecting our focus on delivering a seamless and passenger-centric experience. In Brazil, Brasilia Airport was recognized by [Serium] (ph) as the most punctual airport in the country and ranked second globally among medium-sized airports with over 88% of flights departing on time. Brasilia Airport also ranked number one in passenger satisfaction among Brazilian airports according to the latest survey from the Ministry of Ports and Airports for the first quarter of 2025. And in Ecuador, Guayaquil Airport received a prestigious five-star rating from the European Foundation for Quality Management, recognizing the excellence in service quality and organizational performance. This award reflects the dedication of our local teams and reinforce our strategy of delivering best-in-class operations across geographies. Wrapping up, we remain confident in the strength of our portfolio, the discipline of our strategy, and our ability to continue creating value across our network. Operator, please open the line for questions.
Operator: Thank you, sir. [Operator Instructions] First question will be from Fernanda Recchia at BTIG. Please go ahead Fernanda.
Fernanda Recchia: Hello, Jorge and Martin. Thank you for taking my question. Two points from our side. First, could you please provide more information regarding the Montenegro proposal that you submitted in May? Maybe if you could comment on the capacity of these airports, the regulatory region, the amount of CapEx that you're planning to do so. And also, you also mentioned that you presented a revised proposal for Angola. If you could give us the updated term of the proposal would be great. This is the first topic. And second on traffic, if you could comment on Argentina. As you mentioned, it has been performing strongly at the beginning of this year. So if you could provide us with your outlook for the upcoming months. We have seen April that continue this performance, but looking forward if you think this is sustainable level. Thank you.
Martin Eurnekian: Okay, can you hear me? Hello?
Jorge Arruda: Yes. I can hear you.
Jorge Arruda: Okay, good. Hi, Fernanda, this is Jorge. Thanks for your questions. So first on Montenegro, we submitted a proposal pursuant to the public tender offering -- public tender process that they are carrying out on May 9th. We expect according to the rules of the tender, they should be announcing within 30 days. Let's see if that will be accomplished or there's going to be any delay, but it's imminent. It's a 3 million passenger. In total, there are two airports, the airport of the capital, Podgorica and Tivat, which is based in the Kotor Bay, which is a beautiful area in Montenegro and in the Mediterranean and the Atlantic Sea. We are very excited. It's what we view as a low-hanging fruit because tourism is not very well developed over there. So we see strong potential there. In terms of IRR, we are targeting mid-teens. It's an inflation-based regime, so tariffs are going to be adjusted by inflation every year. The other reason we are quite optimistic that in the mid-term we see Montenegro being part of the European community. In Angola that you also requested, we submitted the proposal a while back. We have passed, let's say, to the second phase and have been requested to make some clarifications and adjustments in the proposal. We are in the process of preparing this revised proposal. There was a session with the government in Rwanda about a month or a month and a half ago and we're expecting the next few weeks to submit a revised and updated proposal to them. Regarding traffic, we remain -- I mean, obviously you have seen the numbers for the quarter and for our main markets and also into April the trend continued or improved. We see very healthy demand going ahead of us in our main markets, most notably in Argentina and most notably within Argentina and international. As Martin said in the script, there are several new routes that are going to start operations in the coming months and quarters. So we see very, very again, healthy demand ahead of us. In Italy, the same in Argentina, WIZZ Airlines established or decided to establish a base and have announced several new routes. In Brazil, traffic finally started to pick up. We believe that the goal coming out of Chapter 11 is good news with a healthy balance sheet. So we are excited basically across our portfolio from a traffic perspective. Anything else that you wanted me to address?
Fernanda Recchia: No, that's very clear. Jorge. Thank you very much for your answer.
Jorge Arruda: Thank you.
Operator: Thank you. Next question will be from Alejandro Demichelis at Jefferies. Please go ahead.
Alejandro Demichelis: Yes, good morning gentlemen. Thank you for taking my questions. A couple of questions please. Jorge, you mentioned about your cost controls that you're trying to implement. Now, could you please give us a bit more color on what initiatives are there? Should we expect kind of costs to continue to grow, say, in line with inflation in Argentina or at a different pace? That's the first question. And then the second question is, You mentioned your active discussions with the government in Argentina for the rebalancing of the concession. So are you thinking about the potential changes or the merger between ORSNA and ANAC, the changes that we have seen at the Secretary of Transport? So could those things delay the process that you embark or can we see a further review of the process?
Jorge Arruda: Okay. Thank you very much for your questions. Regarding cost, I would like to remind you that the gap between inflation and devaluation comparing this quarter with the first quarter of 2024 was very significant. So inflation in the period was about 53%, while devaluation 25% percent. The other thing that I wanted to highlight, if we exclude the amortization, which has a lot to do with CapEx and with the continued CapEx programs that we have been doing, the number instead of 17% is 13%. So what you see in terms of us reported and in our earning presentation is a 17.7% increase. And if we exclude amortization it’s 13% increase, much more aligned with overall passenger growth of about 9.5% and below international traffic in Argentina, for instance, of 21%. Going ahead, we expect much more normalized numbers. We do not see any material increase on a quarter-over-quarter basis in Argentina. In terms of cost controls, I mean, this is obviously a normal course of business for us to be and continue to be very focused on costs, but we are confident that we can maintain costs despite the significant growth that we have been seeing, particularly international traffic. I also wanted to highlight that the second impact that we had on costs was in Italy, although a lot less material. It's marginal. But I'd like to highlight that this is part of the dual fuel regime and it's going to be compensated through tariffs increase going forward. Now, I will turn to Martin to talk about -- if you'd like to talk more about costs, I can continue otherwise I will turn to Martin to talk about the second question on Argentina economic equilibrium.
Alejandro Demichelis: No, I think the cost is clear. Thank you.
Martin Eurnekian: Thank you Jorge and thank you Alejandro for your questions. I think it's a difficult one. As you know, government bureaucracy is sometimes difficult to predict and usually it takes more time than is initially expected. So we are happy with the process that is being made. I cannot tell you what to expect from the change in the Secretary of Transport. I would assume that it might impact, not significantly, but might have an impact in the speed of the work. But still, being the same government and not being any material change in the environment overall, I don't expect it to be really material. So we need to see and understand what this new secretary wants to do and how it wants to do it and if there are going to be further changes in other authorities of the regulator and so on. But we're not afraid that any of these changes will in the end change the aim or the final decision or work on our concession. But as you said, it might impact on how fast it gets done. So as soon as we have updates, we will keep you our investors posted. But for now, we do not see any significant change and we see the teams working as before.
Alejandro Demichelis: Okay. If I can kind of squeeze a bit of a follow-up there. I think in the last update that came from AA2000 there was this discussion about what the actual number could be. So the question is, is there now an agreement on what the actual difference or the actual imbalance of the contract is?
Martin Eurnekian: This is a work in progress and obviously led by the regulator, not by us. And it also has a confidential character. So in the end, until there is no official documents on this review, it would be probably unwise for us to really comment and give a sense that in the end, may not be exactly what comes out or might be fair. So I'd rather wait a little bit, have the government regulator work on it. And once we have official news, we can share it with everybody.
Alejandro Demichelis: Okay, thank you.
Operator: Thank you. [Operator Instructions] Next we will hear from Stephen Trent at Citi. Please go ahead.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking my questions. A couple of them were already answered, but if I could circle back a little bit on M&A. I definitely heard some interesting stuff in Montenegro, Angola, et cetera. But maybe I missed it. I did not hear you say much about the Americas and wondering, for example, if the Motiva, the former CCR airports are of any interest to you? Thank you.
Jorge Arruda: Hi Steve, [Multiple Speakers] Yeah, I will.
Martin Eurnekian: Go ahead, Jorge.
Jorge Arruda: Hi, Steve. Thanks for the question. We -- There is a process going on. It's a confidential process. We have an appetite to evaluate. It's a large portfolio. As such, there are challenges, there are good things, there are also challenges, and we'll keep you posted in the market in general as we make progress and as we can make disclosures about the process.
Stephen Trent: Appreciate that Jorge, that's very clear. And just kind of a quick follow up also on the M&A side. I recall some time ago that CAAP was possibly going to look at some investments along with an investment fund in the Middle East, I believe in the UAE. Is that something that could still be a conduit for you guys or are you thinking for mainly to invest directly in places like Montenegro and elsewhere? Thank you.
Jorge Arruda: Thanks, Steve. Generally speaking, we have been very active in looking for new opportunities. As we have mentioned, we actually boosted our new business team. We allocated more people to this team and are looking at more opportunities for us, including, but not limited to Middle East. So yes, Middle East is included in our target.
Stephen Trent: Great. Thanks, Jorge and Martin, appreciate it.
Operator: Thank you. Next question will be from [Daniel Harris] (ph) at Bank of America. Please go ahead.
Unidentified Analyst: Good morning, gentlemen. Thank you for taking my questions. I just wanted to ask you one question regarding the expansions in Italy. Can you give us an update on how that stands and the outlook for commencing the expansions. Thank you.
Martin Eurnekian: Hello. Thank you very much for your question. Regarding Italy, as you know, it's a very young and bureaucratic process to get what is called the [indiscernible], which is the environmental impact approval. We are -- of course, the team in Italy is extremely focused on delivering all the required documents and observations by the regulatory body on this. The feedback from the team is that, the process is moving ahead as supposed. We have had good news on interim parts of the process that have been successfully finished with, let's say, with no major observations that might impact on any delays. But even with all of this, having said this, the real timing is difficult to assess. We really expect to have news by the third quarter, but as with any bureaucratic process, it's really difficult to put an exact finish date. But again, so far, there are no, let's say, red or yellow flags in the process, and things are moving ahead. Hopefully, as soon as we have official news, we can share it with all investors. And hopefully, by third quarter we have the finalization of the process, and afterwards, the immediate commencement of the works. But again, subject to [indiscernible] process. And as soon as we have information, we will share it with everybody.
Unidentified Analyst: Great, thank you for the color.
Operator: Thank you. And at this time, it appears we have no further questions. I will turn the call back to Martin.
Martin Eurnekian: I just wanted to thank everybody for your interest in our company and your participation in the call. I wish you all a great rest of your day and remind you that our team is available at any time to engage with you, respond to any questions that you might have. Have a really good rest of your day. Bye-bye.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you use disconnect your lines.